Operator: Good day, ladies and gentlemen, and welcome to the Naspers Full Year 2015 Results Teleconference. All participants are now in listen-only mode and there will be an opportunity to ask questions later on. [Operator Instructions]. Please also note that this call is being recorded. I would now like to turn the conference over to Meloy Horn. Please go ahead.
Meloy Horn: On behalf of Naspers, I would just like to introduce you to the management team with me here today. Bob van Dijk, our CEO; Jim Volkwyn, the CEO for Video Entertainment business; Larry Illg, the COO for ecommerce; Charles Searle, CEO for Listed Internet Assets; Nico Marais, GM, Finance; Basil Sgourdos, our CFO; and Martin Scheepbouwer, CEO of Classifieds. I’d like now to hand you over to Bob van Dijk to start the presentation.
Bob van Dijk: Thanks, Meloy, and thanks everybody for joining the Naspers financial year 2015 results call. So I’ll start off by giving you an overview of our strategy and I will highlight the main themes that underlie our results. After which I’ll hand over to Basil who will take you through the financials and the business leaders will take you through our main segment developments afterwards. So if you can turn to Slide 4, here you see the five themes that underlie our strategy and our results. First and foremost, ecommerce has become a major leg for our business, and we are investing further to develop that position in the time to come. Second, we invest in segments where we see increasing consumer engagement over time. Third, we are targeting primarily geographies that we believe have an above average growth potential. Fourth, mobile is already the most common entry point to our online products, and in many cases we serve mobile-only Internet customers. And finally, we have been optimizing a structure for excellent ROI across the business, and we will make sure that we are nimble as an operator. So I’ll go through each of these themes in the next slides to come. So if we move to Slide 5, it shows our significant footprint in ecommerce. We’ve invested in strong ecommerce platforms in growth geographies around the world and a number of important ones to call out are OLX, Allegro, Flipkart, and Souq. So OLX by now is the global leader in consumer to consumer classifieds, and it serves about a quarter of a billion active customers. Allegro in Central and Eastern Europe is the leading marketplace in that geography, and it serves more than 20 million active customers and is a very profitable business. Souq is the leading ecommerce platform in the Middle East and North Africa. And finally we have a significant investment in Flipkart, the pure leader in ecommerce in the Indian market. So if you move to Slide 5, it illustrates how we invest in segments that show significant customer traction. So, on the left-hand side of the graph, this is illustrated by our revenue growth in key segments, and here I highlight classifieds and etail. So classifieds grew its revenue by over 30% in the year that was while etail revenue increased by almost 50%. On the right-hand side, we illustrate how time spent on video entertainment in the U.S. is actually increasing over time. While standard television is shrinking, online video consumption is actually more than compensating for this decline, and this is a trend we see in all our markets as well. So increasingly we will focus on building connected video entertainment products, for example, DStv Now and Box Office. Their target is rapidly increasing online video consumption. And as a result, we’ve also decided to rename our PayTV business unit into video entertainment. If we move to Slide 7, it shows our investment focus. It breaks down our M&A spend as well as our development spend per country. You can see here that we’re putting our money where our mouth is. We are investing primarily in countries that have very strong growth in mobile Internet, and you see India standout as a very important priority. In addition, we significantly invested in Nigeria, South Africa, Brazil, and in Turkey. If we zoom in on India, Slide 8 illustrates our key activities in the Indian market. So as mentioned before, we are an investor in the number one ecommerce company in India, Flipkart. But in addition, our global OLX brand, we are the leader in online consumer to consumer trade in India as well. Our online travel business, ibibo is enabling more transactions than any other online travel agency in India and is particularly strong in mobile. And finally PayU is the leading online payment service provider in the Indian market. If we move to Slide 9, it shows how migration from a desktop-based world to an app-based world drives increased concentration in a market. So in the left-hand side, we show how compared to desktop, the apps world tends to favor a few big winners. So the share of ecommerce time spent in the top two apps is considerably higher than time spent on the top two desktop sites. On the right-hand side, we tried to illustrate how that concentration in app world will actually benefit us. So we take the app rankings in a number of our core markets and this is from the Google Play Store and you can see how our apps were some of the most used in the mobile Internet today, and we believe that this positions us well to benefit from further mobile Internet growth and a transition to an app world. As you will see on Slide 10, we’re working to ensure that we get consistently high ROI of our investments. Where we see better opportunities to consolidate our business, we have done so, and a clear example of our consolidation is we’ve shifted in a number of classified markets that we announced earlier in the financial year. In addition, we’ve also redirected capital away from markets where we believe the growth potential is more than our core market. Finally, to ensure that our operating units are lean, we actually in some cases have restructured businesses. And these leaner operations have enabled more rapid development, and as an example, GMV growth in our Allegro marketplace has more than doubled since we introduced the leaner and a more focused structure. So those are the five main themes that underlie our strategy and our results. I’ll now hand over to Basil Sgourdos, our CFO who will take you through the detailed financials.
Basil Sgourdos: Thank you, Bob. Before I comment and take you through the financial performance for the year gone by, you’ll find additional information in the provisional report and additional slide deck, which Meloy has prepared for you and is available for download on our Web site. If we could start with Slide 12 where we show you the financial highlights, please note that the revenue and development spend numbers are on economic interest basis and that’s including a proportional share of associate and joint venture revenue and trading losses. We are very pleased of course with the financial performance for the past year. It has gone largely to plan, which is a significant achievement for a group of our size and diversity and particularly given the turbulent macroeconomic backdrop. Revenues grew by a solid 26%. The Internet segment was the fastest growing at 37% year-on-year growth. Increased spend in our ecommerce and video entertainment segments drove to 33% increase in development spend. Our core headline earnings was a very healthy 30% up year-on-year and our core headline earnings per share was up 28% year-on-year. We saw a solid performance by Tencent and our more established ecommerce businesses. While this has been a good year of earnings growth, I caution that this should not be seen as an inflection point for our future financial performance. We plan to continue to seek out new opportunities. The Board approved an 11% increase in the dividend, although this is ahead of our year-on-year free cash flow performance, we remain confident in our long-term prospect, and the Board was thus comfortable to go with an increase in the dividend. So moving to Slide 13, we analyze the drivers of the revenue growth. Again, these numbers are on an economic interest basis. Ecommerce is growing at about the same rate as the overall Internet segment, which as I mentioned earlier grew at 37%. Ecommerce organic revenue growth, so that is after excluding the impact of M&A and currency, in fact accelerated in the second half of the year delivering 33% year-on-year growth versus 27% for the first half. Growth in the etail business has been strong at 54% year-on-year, and we are seeing monetization in more mature classified businesses. Tencent also delivered a solid performance growing at scale. They delivered a 31% year-on-year growth in sustainable revenue in Renminbi terms, and the total revenues are now at RMB79 billion. Video entertainment delivered net subscriber additions of 2.2 million and we saw particularly strong performance in the fourth quarter as we pushed DTT take up with incremental subsidies in the absence of analog switch-offs. The subscriber growth was obviously the main driver of the 17% top line growth. In our Sub-Saharan video entertainment business, we’ve had to deal with weakening currencies and are addressing this in the current financial year with price increases. Naspers has transformed into a global, well diversified ecommerce, Internet and media group. 59% of our revenues now come from the Internet segment and 73% are from a non-South African source. The 31% five-year CAGR is a very healthy rate of growth. So moving on to Slide 14, we also provide an analysis of the increase in the development spend. Again the numbers are on an economic interest basis. You will see that development spend has gone up from ZAR8.1 billion to ZAR10.7 billion. I’ll remind you that we defined development spend as a trading loss that our developing business has incurred to each scale. ZAR545 million of the year-on-year increase is driven by exchange rate movements. Of the remaining portion, the substantial majority was invested in ecommerce. We invested in strengthening our position in most of our markets through investment in our content, technology, marketing and people. These investments always have a customer in mind and allowed us to grow ahead of our competition in almost all the businesses. Excluding the impact of currency, development spend in our classified business was about the same year-on-year. This was achieved despite having a wider footprint in the current financial year. PayU continues to invest in its PSP technology and in driving adoption of its consumer wallet. In our etail segment, our associate investments including Flipkart, Souq and Konga pushed hard and scaled ahead of the competitors. Increased spend net of currency impact was about ZAR1.2 billion. Given delays in the analog switch-offs in Sub-Saharan Africa, we decided to somewhat decouple our growth prospects from the switch-offs. We drove sales through incremental subsidy. We also decided to write down the DTT inventory on our books at March 31, 2015 to the subsidized sales price going forward. Incremental DTT investment excluding the currency impact was about ZAR700 million and a fair part of that was the write-down to net realizable value. While the aggregate development spend for our current business is peaking, it is in our nature to continue to seek out new growth opportunities and we will find these and depending on the rate of investment, the level of spend may change going forward. So moving to Slide 15, we show you a waterfall of the drivers behind our core headline earnings growth, which I remind you is a consolidated figure. In addition remember that core headline earnings is the most reliable measure of operating performance, as we strip out the non-operating findings. We showed the increase in development spend separately and by doing so we then are able to show you the earnings performance of the more established businesses in the portfolio. Tencent, as I mentioned earlier, has had a fantastic year growing sustainable new operating profits in Renminbi by 43%. Our more development ecommerce business has contributed a very healthy ZAR1.2 billion to earnings. This underpins our ability to build leading ecommerce destinations that are also profitable. Within video entertainment, the South African business continued to drive operating leverage as subscribers grew and cost remained well managed. In Sub-Sahara Africa, we invested further in content, the launch and subsidy of the Explora personal video recorder and our Box Office video-on-demand service. These investments and general content cost escalations temporarily suppressed earnings. The focus going forward for Sub-Sahara Africa is to drive subscriber growth and take DTT to break even. We expect operating margins to start to improve over the next couple of years. Moving to Slide 16, we show you the consolidated income statement. The trading margin squeeze is caused by the higher development spend, which I discussed earlier. Our finance costs increased by about ZAR700 million on the back of higher debt levels and the weakening Rand. Remember that the bulk of our interest is payable in U.S. dollars. We do cover forward up to two years. We don’t succeed in every venture we undertake and we have a robust process to measure actual performance against our initial expectation. We impair the assets that were underperforming. We recorded a ZAR1.1 billion impairment in the currency which is down from the ZAR2.7 billion recorded last year. Overall, our impairment rate in our Internet businesses remains below 10% of invested capital. Our taxable has increased on the back of improving profitability in South Africa and the growing profitability in some of our more established ecommerce businesses. So moving on to Slide 17 and our free cash flow, again remember these are consolidated numbers. And you’ll see that operating cash flow decreased again, the increased development spend has had a role to play but we also invested in DTT inventory to ready ourselves for any analog switch-offs as and when they occur. We have seen growth in our dividends from associates. Tencent accounts for all the difference in the current year. You will note that CapEx has declined from ZAR4.4 billion to ZAR3.3 billion on the back of pure DTT transmitters being deployed. With our DTT footprint largely in place and the video entertainment facility expansion largely complete in South Africa, we expect free cash flows to improve from here. Of course, as I cautioned earlier, this assumes no further expansion opportunities beyond the current portfolio. So finally on Slide 18, a high level view of our balance sheet and some relevant gearing metrics. Our consolidated net gearing ratio has only gone up marginally since we reported at the interim from 29% to 30%. Our interest cover and net debt to adjusted EBITDA are well within our covenants, so there’s plenty of headroom there. The market value of our holdings intention of Mail.ru are 21x our net debt. We retained S&P to provide a credit rating and announced last Friday that they rate our credit investment grade with a stable outlook. So in short, our balance sheet is a very healthy one and provides us with the reflective [ph] ability to continue to invest and grow our business. Thank you for your attention. I would like to now hand over to our COO of ecommerce, Larry Illg.
Larry Illg: Thanks, Basil. I’ll now discuss the performance of our ecommerce portfolio. Looking at Slide 20, you’ll notice the broad geographic coverage of our primary segments. First is our etail segment. I’m happy to say that almost all of our etail businesses are the leaders in their primary geographies. These businesses make up the vast majority of our ecommerce revenue and the segment is growing nearly 50% year-on-year. Second comes the marketplaces segment operating in Central and Eastern Europe. Marketplaces businesses are trading platforms that enable third-party merchants to sell inventory to consumers. The Allegro marketplace, the ecommerce leader in Poland, performed very well delivering over ZAR3.2 billion in revenue and ZAR1.4 billion in trading profit. As Bob mentioned earlier, the growth in Allegro was enabled in part by significant restructuring that allowed us to focus more on consumer experience. Those efforts show results faster than we could have expected. Year-on-year GMV growth accelerated powered by a consumer to consumer trade that started growing again after many months of decline and also by dramatic acceleration in mobile transactions. Third comes the classified segment, which Martin will cover shortly. Our general classifieds brand OLX is highlighted on this slide, but it is worth calling out that we operate classified businesses under a variety of brands and do more than just general classifieds. We also operate vertical classified sites in housing and motors and minimarkets typically alongside our leading general classified site. Fourth comes our payments business, PayU, another early stage business that shows good long-term potential. PayU currently operates in 16 markets and has over 100,000 merchants on platform. There are close links between PayU and our etail and marketplaces businesses where the PayU business removes friction from ecommerce transactions. Last comes the group we call online services. Think of online services as our new ventures or seed businesses. It includes early stage businesses and food delivery and travel among other categories. I’ll give an example of one of the businesses in this segment a little later. Moving to Slide 21, creating world class consumer experiences continues to be at the core of our values and we have made significant investments in technology and talent to drive consumer satisfaction and engagements. The financial results you see here suggest that our formula is working. Revenue for ecommerce grew 36% over last year to just over ZAR27 billion. Note the revenue here is a mix of first party revenue from our etail businesses and advertising fees and commissions from other segments. Development spend for the year was ZAR8 billion and we incurred a ZAR6 billion trading loss. You’ll notice that development spend and trading losses are growing slower than revenue. That’s a sign that the businesses are getting much stronger operationally driving efficiencies as they scale. Last point on this page, it’s worth noting that our largest ecommerce segment etail is also one of the fastest growing segments in the portfolio. That’s rare in any portfolio business and worth a closer look. We’ll take a closer look at etail on the next slide. Note that etail operations show consistent significant growth adding over ZAR5 billion in revenue for the second straight year. This growth is largely organic and driven by a consumer-centric mindset. We focus on the timeless stores of consumer experience and retail, price, selection and convenience, and as a result we are seeing solid growth and repeat visits suggesting consumers are happy with the overall experience we offer. On the right-hand side and following on Bob’s discussion on India earlier, you’ll notice that more than half our GMV in etail is coming from India and Southeast Asia. Ecommerce in India is arrived in a major way powered in part by an acceleration in smartphone penetration. You can see that in the results here. Continuing on the India theme on Slide 23, we highlight ibibo group. Ibibo is the leader in travel in India with over 2.1 million transactions per month. That’s around 2x larger than any online travel agent in the market. The run rate of GMV for ibibo is over $1.6 billion growing 45% year-on-year. You see just the highlights of a slide but it’s easy to see there are a lot of reasons to be excited about potential of the ibibo business. Now I’ll hand it over to Martin who will speak about performance of our classifieds segment.
Martin Scheepbouwer: Thanks, Larry, and good afternoon everyone. So on Page 24 let me start off by illustrating the momentum we have build in our main brand OLX, which is now the largest classifieds brand globally. After substantial rebranding and significant growth across the board last year, OLX is now present in around 40 markets globally with eight country themes in half of these. Our mobile products are very engaging illustrated by our performance in app stores. The average rate in Android is 4.3 and in 15 countries, we are in leading positions in the shopping category. All this is done by scale. We had a total of 240 million monthly users in March generating 17 billion page views. Turning to Page 25, on the top graph you see that after two years of progressive expansion, focus going forward will be on developing existing footprints to maturity. We are now monetizing in eight countries; Poland, Portugal, Bosnia, Bulgaria, Romania, Ukraine, Russia through Avito and in the UAE through Dubizzle. However, it’s still early days and classifieds revenues account for less than 10% of our ecommerce revenues today. As you’re aware, at the end of last year we closed two deals with Schibsted and we successfully implemented JVs in Brazil, Indonesia, Thailand and Bangladesh. Our focus is on execution or excellence by operating as a single operating company with alignment of brands, platform and people, especially on mobile. Last year this translated to healthy growth of 32% in visits, 53% in page views in aggregate. In terms of financials, excluding currency impact, development spend stayed roughly the same as the year before. Turning to Page 26. I already referred to our focus on mobile in all operations. Growth rates are in triple digits in many countries now and reaching above 70% volume share in much of Africa, India and Indonesia. Page 27; the Schibsted JVs have been established and are in operational mode. While Brazil and Indonesia are market leaders, it’s important to know that also market maturity measure in list activity per capita is still quite modest compared to, for instance, Poland or Russia. We therefore want to balance our efforts between monetization and maturing the market further. On Page 28, you can track our progress in India, obviously a key market for us. In India, the market is still immature but fiercely competitive. As you can conclude from the chart, we have maintained a solid lead of 2x to 3x of our direct competitor Quikr measured in new listing inflow or brand strength in Google. Considering the size and complexities of India, we have put particular emphasis on localizing and innovating on a mobile offering there. Thank you for your attention. I will now hand over to Charles Searle.
Charles Searle: Thanks very much, Martin. Turning to Slide 29, our Tencent financial results as you will recall are reflective to Naspers’ accounts on a three-month lag basis. And I encourage you to visit the Tencent Web site for more details of their 2014 results as well as their Q1 2015 results, which were released in May. Now as Basil had mentioned for the 12-month period through December, Tencent recorded excellent year-on-year growth in both revenues and earnings. As you can see on the left of the chart, operating profit was up 59% year-on-year at RMB30.5 billion. There have been three main drivers of this profitability growth. Firstly, Tencent has posted significant revenue base from smartphone games integrated with mobile [indiscernible] and has also established a strong market position in mobile games publishing. Secondly, the strategic partnership with JD.com while leading at the time in overall ecommerce revenue, this has led to a significant decline in cost and hence sharp improvements in profitability. A further important highlight has been the strong growth of Tencent’s online advertising business, which has benefited from increased traffic to the video platform as well as the performance-based advertising, which was introduced on the mobile social platforms. The strategic cooperation with JD.com, as mentioned earlier, has also contributed to the growth in the online advertising business. During the year, Tencent has continued to make significant investments in new opportunities. In particular, Tencent has been working hard to enrich its online to offline ecommerce ecosystem by investing in and partnering with industry leaders including the classifieds company 58.com, Dianping, which is a restaurants and services review company, Didi Dache, the taxi app company and Koudai Gouwu to name just a few. From a platform perspective, the smartphone-based social communication product Weixin, which is known internationally as WeChat, registered the combined 549 million monthly active user accounts in March of 2015 and this is a 39% increase year-on-year. The rapid growth benefitted from the launch of newer services and features during the quarter of the last year. For QQ instant messaging, smart device monthly active users increased by 23% year-on-year to 603 million at the end of the first quarter of 2015. And mobile QQ usage benefitted from enhanced features in several areas such as voice and video call, short video sharing and improved live document [ph] transmission capability, which has proved to be very useful. Tencent media and video system [ph] also extended their leadership and this is supported by improved content and robust growth in mobile traffic. So overall it was another excellent performance from Tencent. Turning to Mail.ru on Slide 30 and similar to Tencent, Mail.ru’s results are also reflected in Naspers’ accounts on a three-month lag basis and I refer you to their corporate Web site for their historic results and the latest trading update. Now over the past year, Mail has continued the positive growth trajectory but at a sharply slower pace and this is especially seen during the second half of the year. [Indiscernible] are being counted as a result of the tough economic and geopolitical environment and this has had a negative effect on advertising revenues and in particular on display advertising revenues which saw declines during the year. Mail’s other revenue streams are also growing at a stable rate than might otherwise have been expected. But against this backdrop, total revenue grew 14.8% year-on-year in Rubles to 35.8 billion but EBITDA increased by 13% and they maintained a stable EBITDA margins throughout. Mail continues to execute on its MMO game strategy. Warfare remains the largest revenue generating game and vantage from further updates during the course of the year. And in this the year coming forward, several new MMO games are scheduled to be released. Mail is also considering to focus on the expansion of video and mobile advertising, especially on the VKontakte platform. VK itself is making excellent progress with strong growth in user activity on the platform with mobile doing particularly well. In summary though, while structural drivers of the business remain unchanged, the underlying economic and geopolitical environment remain somewhat uncertain and this of course is having impacts on long-term visibility or longer-term visibility. I’ll now hand you over to Jim Volkwyn, the CEO of Video Entertainment.
Jim Volkwyn: Thank you, Charles. I’m now on Slide 32. The past year saw another solid state of results by our video entertainment business. Now we no longer refer to pay television but rather video entertainment to better reflect our broad suite of products. Our local content, DTT and Internet delivered initiatives have overall improved our product offering albeit at the expense of short-term cash flow and profitability. In the past year, we focused heavily in three areas, the first being growing our DTT subscriber base where we almost tripled the base despite many countries not switching off their analog services as we expected. The second was on delivering better products to our customers including the addition of new channels and services and the third was investing more in local content, spending more than ZAR2 billion in South Africa alone. Moving on to Slide 33, we now service 10,2 million subscribers in more than 50 countries throughout Sub-Saharan Africa made up of 5.4 million customers in South Africa and another 4.8 million spread outside of South Africa. We experienced growth of 2,2 million customers of which 400,000 came from South Africa and the balance of 1.8 from the rest of the continent. On the positive side of the business, the HD channels can now be viewed on all bouquets and are no longer restricted to the premium tier. Our video-on-demand Box Office service was expanded to 12 countries and exceeds 630,000 rentals per month. Our PVR base has now passed 1,2 million or 9% of our total subscriber base or 60% of our premium base. The Explora PVR, which is the bigger PVR, can now be connected to the Internet. When connected it allows our premium subscribers to view an extended catch-up service of almost 800 hours of content for free. Now both these catch-up and Box Office services are useful in that these services create stickiness, help combat churn and generate incremental ARPU. So much emphasis was also placed on improving our customer care where we achieved a significant increase in most of our core metrics. However, on the negative side of the business, regulatory pressures intensified in most of our territories. In South Africa, the delay in the analog switch-off has impacted the broadcasting industry negatively and the exact timetable for switch-off still remains unclear. Competition is also significantly increased in all territories for both DTH and DTT as well as for Internet delivered services. Our margins also increased due to deep DTT decoder subsidies, some currency deterioration in many of our Sub-Saharan territories, deeper and continued investment in local content spend and of course increased sport rights fees as a direct consequence of competition. Moving on to Slide 34, during the year, analog switch-offs occurred in Mozambique and Namibia and after a lengthy delay finally also in Kenya. In Nigeria, the process was delayed as a result of the elections. As these switch-offs did not occur in the timeframe we anticipated, we aggressively pursued the DTT market to advance our strategic position. We believe we have now comfortably passed our main DTT competitor StarTimes. We leveraged the existing inventory and made the service much more affordable by introducing higher decoder subsidies. As a result, development spend on DTT rose to ZAR2,1 billion but going forward we expect this number to trim downwards. We also invested ZAR1,1 billion in DTT CapEx bringing our footprint to 11 countries and 160 broadcast sites. With the total investment of ZAR4,8 billion in DTT infrastructure over time, our network is now almost complete. The speed at which DTT subscribers will be added will depend largely on the mandated analog switch-off dates determined on a country by country basis, in particular Nigeria. We have the inventory on hand to move ahead swiftly and for now we believe it is just a timing issue which will resolve itself once ASI dates are finalized and it will then be a rush to the finish. So I’ll now hand you back to Bob.
Bob van Dijk: Thanks, Jim. I’ll take you through Slide 36, this is the last side we’ll cover today. So if we look forward, you will see the same five themes that underpin our results again as the basis for the year ahead. So first of all in ecommerce, we expect to see continued rapid audience and top line growth in the year that comes. Second, we will continue to invest primarily in segments with growing consumer engagement to call out a number of particular ones; classifieds, etail and online services in the ecommerce side of the house. In addition, we foresee growth in connected video products and in DTT in Sub-Saharan Africa. And third, we will continue to prioritize our investment in geographies that have a lot of growth potential, particularly geographies that have promising mobile Internet growth. Fourth, we expect mobile apps will become the most important interaction mechanism with our customers going forward and we will prioritize mobile apps across all our business units, particularly our Android apps. Finally, we will continue to ensure that we get the right return on our investment by allocating our capital to high growth opportunities and we will make sure we achieve operational cost savings when we can. With that, I would like to thank you for your attention so far and I’ll open up for questions from participants on the phone.
Operator: Thank you. [Operator Instructions]. Our first question comes from Cesar Tiron from Merrill Lynch. Please go ahead.
Cesar Tiron: Hi. I have two questions please. First, I would like to understand if you’re going to continue to subsidize DTT boxes in Sub-Saharan Africa and also to understand how realistic it is to increase prices to mitigate the negative FX impact on OpEx? And then my second question will be on development spend. If I look at what you reported for the full year, it implies some acceleration in development spend in India. Can you please share if most of it is directed to online classifieds or if some is going to online travel as well? Thank you.
Bob van Dijk: Thank you for your questions. I’ll attempt to answer them for you. So we do intend to continue to subsidize DTT boxes, but we have, however, written down our remainder – the remainder of our inventory to the levels at which we currently sell these boxes. So that’s price decrease, if you will, has already been factored into the current year – I mean last year’s results. We do also expect to introduce price increases to cover up for foreign exchange weakness over time. When it comes to development spend in India, we don’t give any guidance, but we expect to be investing in OLX as we build out that business, which is still fairly immature in India, and in addition we see our Indian travel business have significant further growth that will take some development spend going forward.
Cesar Tiron: Thank you.
Bob van Dijk: And if I may, as one point on development spend in India, as Basil highlighted earlier, one of our major associates Flipkart is on a very rapid growth path and will as well require a meaningful investment going forward.
Operator: Thank you. Our next question comes from David Ferguson at Ren Capital. Please go ahead, David.
David Ferguson: Hi. Good afternoon, everyone. So maybe two questions. First question, since the combination of OLX and Bomnegocio in Brazil, but what has been the growth in new listings? So that’s the first question and probably some comment just on any sort of attempt at sort of experiments around monetization. Second question would be I think I’ve sort of understood I’ll say the soft guidance to be, development spend has peaked unless there are big changes in that sort of the footprint. So I guess the question is whether that’s correct? Are you happy broadly with the geographical footprint, and on the focus on these two areas of etail -- remain focused on these two areas of etail and classifieds, so would you think they are meaningful and attractive opportunities. That’s it.
Martin Scheepbouwer: Hi. This is Martin here. I’ll comment on – I’ll answer your question on Brazil. So yes, as I referred to this – the JV in Brazil is operational and we have successfully combined Bomnegocio and OLX into a single user proposition, that as we expected has gained good growth over the last month, and that is now larger than the two individual ones combined in the period before the merger. So good growth there.
Bob van Dijk: So I can comment on the second question around development spend. So I think what Basil said, if you look at our current footprint of classified countries, horizontal classified countries and etail, I think indeed we’ve seen a good amount of that development spend peaking. On the other hand, we are and we have been entering new segments, and we are continuously looking for new opportunities that will require further investment. So how that will in aggregate peak is very hard to predict, and we can’t give any guidance about that. I think what you can be sure of is that when we add additional investment opportunities, we will scrutinize them for ROI very closely.
David Ferguson: Okay, fair enough. And maybe if I can just ask one quick question. I think in the press releases, you talked about consolidating the different payment businesses sort of in a similar way as you did with the classified businesses, so maybe you can just talk a little bit more generally about sort of medium term what you’d like this to become, what your ambition is in the payment space?
Bob van Dijk: Yes, I can comment on that. I think the business we’re trying to build has already two main legs, so we are already a very significant payment service provider in actually all our key markets, and I think that is a business that has significant further growth potential. It’s growing significantly into the double digits, but we also believe that business can be profitable in the relatively near term. In addition to that, we have started building a consumer wallet business that has good initial traction, particularly in our Indian business, and we’re going to invest meaningful amounts in building out that consumer wallet business in the years to come.
David Ferguson: Okay, that’s great. So thanks a lot.
Operator: Thank you. Our next question is from Edward Hill-Wood from Morgan Stanley. Please go ahead.
Edward Hill-Wood: Hi. Good afternoon, everyone. I’ve got a couple of questions please. Firstly, going back to India, if you look at the gap between the development spend on a consolidated economic basis, it looks though there’s been a significant acceleration within the development spend allocated with your associate. I presume the majority of that would be or some of that certainly would be within Flipkart. Could you just comment on that please, and in particular in regard to your decision not to invest in the most recent funding rounds of Flipkart, I was wondering if you could just comment on your attitude to the asset in India. And secondly, on India on page 28 where you have the growth in new listings relative to Quikr, you’re 2x bigger, but the gap is not necessarily widened in the last year or so. So whether or not you are competent that you are on trajectory to get to this type of scale you need to start monetizing the market or are we getting to a situation where consolidation is more probable? Thank you.
Bob van Dijk: I can try to attempt to answer two questions and Basil and Martin will chime in as necessary. So you are correct. When you look specifically at India, our development spend and the difference between our consolidated number and our economic interest number has a good impact from Flipkart that is growing as you probably know exceptionally fast and it’s doing that at a meaningful investment. So that is definitely what drives that difference. Other resources in other parts of the world and these are also significantly investing, so Souq and Konga in particular are growing very, very fast at significant investment. So the second question around competition with Quikr, what we see there is that Quikr is spending a great deal of money in our views outspending us by a good factor and we managed to actually in the segments that we care most about make great progress and we believe that doing that at a more efficient spend while we’re focusing primarily on customer experience is the right thing to do. We believe that will have the right outcome over time.
Edward Hill-Wood: Sorry, in organically.
Bob van Dijk: So we making organic progress that I find encouraging and that’s the path that the team is pursuing.
Edward Hill-Wood: Okay. Thank you. And one final one if I may just on cost on the outlook slide, the comment you made on prioritizing high return assets and operation of cost saving. Is it possible to maybe just give a little bit more color on the scale of those potential savings or any additional commentary you want to provide on that particular point?
Bob van Dijk: I think the most important points to make on optimizing recurrence is that what we’ve seen is that lean organizations just perform better. I think the Allegro example is a great one but actually also in some of our classifieds and payment businesses, we have reduced cost but mainly to get to a point where we can execute that and have a better product focused organization. So it’s not our intention to save hundreds of millions of dollars. It’s rather our intention to be a lean operating business and then we invest it back for example in our mobile development.
Edward Hill-Wood: Okay, great. Thank you very much.
Operator: Thanks. Our next question comes from JP Davids at Barclays. Please go ahead.
JP Davids: Hi. Thanks. I’ve got one question and one clarification please. So firstly on the question, Basil mentioned that a lot of the debt is in dollars at the moment. Maybe you can help me reconcile your priorities three and five around growth and returns and around the dollar strength we see at the moment, because you’re obviously investing in emerging markets. How does that impact the way you’re sort of refocusing around priorities three and five? Are you going to do things differently in this dollar environment or not necessarily? That’s the question. And then on the clarification, maybe I just misunderstood I’m not sure but I just wanted to check at the beginning of Basil’s presentation he talked about this not being an inflection point in growth. I just wanted to be clear on what he was referring to around what is inflecting or what isn’t inflecting at this point? Thank you.
Basil Sgourdos: Thanks. Let me deal with both. First of all, currencies often go down in the short term. It doesn’t really matter what happens in the short term. Our portfolio is well diversified. We operate in 130 countries in multiple currencies. So overall I think – and currency is benign in terms of how we look at the businesses. We go in and we build models by market, by asset and full cost to cash flows and we look at returns on that basis. So I don’t think currency is a big issue or concern for us. On the format I think all I am doing is I’m cautioning about people taking the 30% growth and saying, oh, well that’s so much more and then just extrapolating further. I think the nature of Naspers is we’re doing well of course financially. I think our businesses will continue to scale and operating performance will continue to improve, but we also want to go and find that mix set of opportunities that are going to drive growth in the medium and long term, and we just don’t know what those are yet.
JP Davids: Understood. Thank you very much.
Operator: Thank you. Jarrett Geldenhuys of Investec has the next question.
Jarrett Geldenhuys: Thank you very much. Thanks, guys. Just if I can ask just about the DTT offering in Sub-Saharan Africa just if you can give us some guidance on the ARPU per month and also how many boxes you actually have at the moment in inventory waiting to be deployed? Thank you.
Bob van Dijk: The ARPUs on DTT we find that roughly 90% of our DTT subs take the high package and that’s priced at round about $9 to $10. On the number of boxes we have roughly 2.9 million boxes on hand at the end of March.
Jarrett Geldenhuys: Thank you very much.
Operator: Thank you. David Reynolds at Jefferies has the next question.
David Reynolds: Good afternoon. Thanks for taking the question; two quick ones. Firstly on Allegro, obviously a fairly impressive performance from a profitability perspective. Could you just clarify – would I be right in thinking revenue growth there is single digits or have I got that completely wrong?
Basil Sgourdos: No, the growth there is double digits on Allegro.
David Reynolds: Will you be able to put a figure on that, right?
Basil Sgourdos: I can’t.
David Reynolds: Okay, no problem. And then just obviously on the OLX business, which obviously again has achieved a degree of scale, which is almost paralleled globally. I just wonder perhaps if you could give us possibly some of that similar revenue trading profit sale you’ve provided for Allegro there?
Basil Sgourdos: Well, I can’t give you any precise numbers but what we have told you is that revenue growth is quite encouraging and more than 30%. And yes, the future is looking bright.
David Reynolds: That’s helpful. Thank you.
Operator: Thanks. The next question comes from Avior Research, Richard Tessendorf has the floor.
Richard Tessendorf: Good afternoon. Two questions please. For the first just on [indiscernible] I don’t know if you can split up that aggregate purchase consideration between the two and then just comment on whether the valuation news is a third party valuation?
Larry Illg: Richard, it’s Larry Illg. We didn’t really split it up, so – I mean the whole thing was done together. And so the second part of your question was?
Richard Tessendorf: Whether there was a third party valuation.
Larry Illg: Basically it was based off the valuation we use for our testing purposes which is a [indiscernible] valuation but of course it was around that.
Richard Tessendorf: Okay, good. Thanks. And then the second question is just around, obviously you got the focus on mobile and in Mobilar [ph] in LATAM has made some interesting acquisitions, obviously very small. But just how to think about how you see obviously in the context of assets like JD.com and Tencent who are doing a lot in that space.
Bob van Dijk: Yes, I can comment on that. I think if you look at some of the initiatives that Mobilar has both organically and through acquisitions initiated I think some of those, they’re very early stage but they’re very promising. I think the company has a phenomenal track record of developing excellent mobile first applications. I think what we see throughout the world, there’s a lot of innovation happening in this space and we are certainly watching it grow and in some cases where I believe it has sufficient traction we get on board much like Tencent does in China.
Richard Tessendorf: Perfect. Thank you.
Operator: Thanks. Our next question comes from [indiscernible].
Unidentified Analyst: Hi. Good afternoon. In the past you guys always gave a breakdown or just gave the cost of programming. I’d like to know what the cost of programming was for this year?
Bob van Dijk: That full analysis is in the additional packs, so it will all be there.
Unidentified Analyst: On the Web site?
Bob van Dijk: It’s on the Web site straight off with the call. If you’re able to download you’ll get all the information that you got before.
Unidentified Analyst: Okay, brilliant. Thank you.
Operator: Thank you. Our next question comes from UBS’ [indiscernible]. Please go ahead.
Unidentified Analyst: Hi. Could you please comment on potential disposals you had and could you please also comment on the speed of monetization of project?
Bob van Dijk: So I can answer the first question. The second unfortunately was very hard to understand, so you have to repeat that.
Unidentified Analyst: So the second question was on the speed of monetization.
Bob van Dijk: So on your first question we don’t comment on any future M&As. I can’t give any specific guidance there. What I can tell you is that we take a very regular review of our portfolio. We then look at is that the future value creation and profitability versus the cash consumption that the business might have in a growth phase. And we’re fairly critical to make sure that the overall portfolio gets great ROI on our total capital invested. So we look critically at that on a very regular basis. If assets don’t make the cut, we will put them up for sale. On your second point on speed of monetization, I presume that refers mainly to classifieds and there I can ask Martin to comment a bit more.
Martin Scheepbouwer: Certainly. So I think you’ll find Page 25 helpful where we illustrate that we are doing quite heavy monetization in eight countries and that includes aggressive push in future products for consumers, subscriptions for professional users, advertising and so on and so forth. And then we are in leading positions in about two dozen markets and the most promising of those, we also prepare monetization [indiscernible] yes, there’s an array of companies where we just entered and where monetization is still a few years out.
Unidentified Analyst: Okay. Thank you.
Operator: Thanks. Next question comes from Deutsche Bank’s John Kim. Please go ahead, John.
John Kim: Hi. Good afternoon, everybody. Two questions. First on DTT, can you take us through a three to five-year view from what you can see today in terms of targets, margins, analog switch-offs above and beyond Nigeria? Switching gears to the second question, can you talk about the landscape in ecommerce? I think it’s fair to say over the past two or three years, we’ve seen a number of platforms raise money. I’m wondering what you’re seeing in terms of actual CapEx build outs and what your attitude towards owning hard assets is at this point in time? Thank you.
Jim Volkwyn: John, it’s Jim here. On DTT, it’s the proverbial piece of string on the positive side. The global dates, the IT date has not passed. It’s June 17 for most countries, should be moving in that direction. If we look at it, what’s happened in the past we had a number of countries that have gone and completed their switch-offs, the big one remaining is of course Nigeria in Africa. I probably think that will happen in the next 18 months or so. It was delayed because of elections and the whole range of other issues. And we have a number of smaller type tier but the big one will be Nigeria, but I would think probably in the next two years or so we should see that happen. South Africa longer term or medium term probably. The matter around inscription is now being settled in the courts and I would envisage that South Africa would probably start within the next six months or so.
Bob van Dijk: And if you would be so kind to maybe clarify your second question a little bit on ecommerce that would be helpful.
John Kim: All right, sure thing. You have a number of companies that have gone public and raised capital, but some of them have 3P business models, some have 1P, some are somewhere in between. But as they look to compete in this market, I would imagine they would be deploying or partnering to deploy logistic hubs, service capabilities, perhaps owning inventory. Given this is a competitive landscape, I’m wondering what the corporate attitude is towards – gravitating more towards 1P business model at this point in time? And is there a cost effective strategy for making this work in emerging markets?
Bob van Dijk: Okay, excellent. Thank you. That helps. Now we basically have seen, if you will, migration of 1P models to be more mixed, 1P-3P and it has a lot to do with actually getting a broader set of inventory on our 1P sites that third parties can provide as well as rather attractive commission income that comes from 3P. So we see a lot of our first party businesses that we’ve invested in very successfully developing 3P businesses. Flipkart is an example, Souq is an example, eMag is an example. So we believe that the future will very often see a mixture of the two models. I think as long as you do it in a structure type quality way for customers that mixture can actually be very helpful and very attractive also from a financial point of view. And then what we have seen is that in some markets it’s necessary to develop a last mile [ph] delivery infrastructure just because the quality isn’t there but we tend to achieve that in a fairly asset-like way. So in many cases we managed to do it in a franchise model and none of our etail businesses have actually invested in the warehousing real estate infrastructure. We lease our warehouses rather than buy them. So actually the asset side of the business is relatively light. That company has managed their working capital very, very tightly and as a result in most companies, working capital is actually negative or very close to negative as a result of being very mindful of that. So we don’t tend to tie up a great deal of capital in these business models altogether.
John Kim: Great. Thanks.
Operator: Thank you. Our next question comes from JPMorgan’s Ziyad Joosub. Please go ahead.
Ziyad Joosub: Hi, everyone. Thanks for taking my questions. I’ve got two questions please. The first one is just on associate contribution to core headline earnings, if we look at the other contribution, so Flipkart, Souq.com in H1 the losses were minus 288 million; in H2 2015 it almost quadrupled to minus 1.2 billion. I would appreciate if you can maybe just give me a bit more color, I appreciate development spend, probably you ramped up particularly at Flipkart and Souq, but is there a seasonality impact to this, is there more deep discounting in the Indian etail market? Were there happy promotions? How do we get such a big jump in losses six months eventually? And then the second question please is on your optimized return slide, you mentioned a restructuring of Central/Eastern Europe or CEE and it looks like Automoto [ph], OLX and Allegro are all going to form part of that restructuring. I would appreciate it if you could just give a bit more color on what’s the strategy with the CEE restructuring? Thank you.
Bob van Dijk: It’s Bob, I’ll take the first one. There are a couple of elements that drive the increasing losses and first of all, we had follow-on investments. So we had larger percentage holdings in these companies later in the year. Secondly, these companies have made the initial investment [indiscernible] infrastructure and are really driving growth and pushing scale hard. So there’s that element. And finally you’re correct. There is a seasonal element, right, so they are holidays and special events and [indiscernible] came to happen in the second half of the year. So those three factors combined to deliver the year-on-year increase.
Martin Scheepbouwer: And if I may try to answer the second question, so that restructuring has already happened. So we looked at our organization across these different business units in Central and Eastern Europe and we found that they were somewhat unfocused and we reduced the number of people we have in these businesses, which regrettably was necessary but as a result we have gotten much leaner and much more focused on a clear set of priorities mainly around developing great mobile experiences for customers.
Ziyad Joosub: Thank you very much. It’s very useful.
Martin Scheepbouwer: It’s in the past. It’s not in the future just to be clear about that.
Ziyad Joosub: Okay, got it.
Operator: Thanks. Alex Balakhnin from Goldman Sachs has the next question.
Alex Balakhnin: Yes. Good afternoon. Two questions from me if I may. One is on Brazil. On your map of monetization you put Brazil I guess somewhere in the leading but not yet monetizing countries. I know just you have advertising there, you have the visibility features there, so what you don’t have there is a formal listing fees in some of the verticals. My question is without the listing fees, can the operation still demonstrate quite a sorted revenue growth? And should we probably expect that from Brazil even if you don’t introduce formal listing fees for the professional players. My second and third questions are more technical. I noticed you sold or in the process of selling Korbitec. I was just wondering if you would just sell and [indiscernible] business. And to what extent the technologies of Korbitec are used across your other purposes because I know some of your associates are using Korbitec technology in the real estate vertical? And lastly you mentioned iFood and you say that it’s 85% only Brazilian food market. What are your aspirations about that business? Do you plan to scale this business more globally or just the local experiment, so what are you thinking about this asset?
Basil Sgourdos: Great. So I’ll take your first question on Brazil. Your observation is correct. So it’s a leading platform in classifieds, so all the classifieds in Brazil and it is experimenting – laying the foundation of monetization in the future. And one of the things we have indeed done is launch [indiscernible] participation fees. And revenues this year will still be modest, but as that market sort of matures and we can hold up more products, I expect monetization case to improve considerably.
Martin Scheepbouwer: Maybe I will address your question around Korbitec, so the projection we recently concluded is actually for the sale of just a B2B back office systems, which facilitate the real estate transaction and it’s something we only did in South Africa. So that sale doesn’t touch our property 24 real estate classifieds business not does it touch, for example, the joint venture we have with Avito in Russia. So those are not at all touched by that sale. It really was a backend business that was unrelated to those consumer businesses. And then finally on iFood, we’ve seen the team execute really well on food delivery. And actually if you look at market shares in the whole of Latin America, iFood is actually a market leader even though they’re primarily active in Brazil. They have very solid market share and the business is showing significant growth. And if you compare it to other markets, we believe that Brazil has considerable runway and that’s a very healthy business model for us. So we intend to support it going forward. Did that answer your questions?
Alex Balakhnin: A very quick follow up on number one and on iFood. There is a bit of global consolidation in the food delivery business between Just Eat and Delivery Hero and so on. Are you going to participate in this global consolidation with your assets or you think about maybe more organic development, maybe you feel you have a different edge in this business? And just a quick follow up on my first question. I was wondering if just having advertising and some light monetization features, do you feel it’s possible still to show quite a different growth in revenues in Brazil? I mean just to compare this with another business at etail, they were able to grow revenues very high double digits even without listing fees for many, many years. Should we maybe expect similar things in Brazil?
Bob van Dijk: Yes, and I can start with the first question and then I’ll give Martin an opportunity to address the follow up. So indeed there has been a good amount of consolidation in food delivery. We never comment on anything we do in the future in M&A, so I can’t say anything about that. What I can say is that we have an excellent team in iFood and certainly ambitions to grow that organically. So there you can expect more from us in the future. We don’t comment on anything else.
Martin Scheepbouwer: Yes, and then back on number one, so I think if we continue to grow in monetization intensity we could possibly build – grow revenues and possibly build a low margin business but our ambition for Brazil is clearly higher and that’s why we want to increase the rate of monetization over the years to come.
Bob van Dijk: And I think specifically to your point you can build a great classified business with good margins without listing fees. I think that’s been proven in many markets across the world, but we have high aspirations for Brazil.
Alex Balakhnin: That’s very clear. Thank you so much.
Operator: Thank you. [Operator Instructions]. Richard Barker at Credit Suisse has the next question.
Richard Barker: Thanks very much. Just a couple of bits to it. The first point, just looking at the ecommerce portfolio in sort of a broad sense, if I strip out what you’re attributing essentially in terms of revenue and losses to the associate portfolio, it seems like the profitability of your consolidated businesses has improved significantly. I just wondered if you can maybe talk through what some of the drivers of that has been if there are any businesses that have done particularly well, if there are any laggards, and especially maybe link it into the slide that you talked about previously about the reorganization within the CEE. I’m sorry, I’m mostly being a bit dense on that but I’m just trying to understand exactly what the reorganization was has happened? Is it just that you have taken the classified assets away from the marketplace assets and just focused the business or is there something more to that? Secondly, just can you quickly confirm with the two new classifieds markets [indiscernible], I think you probably mentioned it but I just want to confirm. Is Romania and Ukraine I think were the two that you mentioned this time around, which I don’t think you mentioned before but I just want to check? And finally just looking at the organic growth slide within the ecommerce portfolio that you have there, I noticed that marketplaces is growing at 5%. I mean there’s obviously acceleration in the second half, that’s clear but still compared to the sort of growth that you’re seeing, the parts of the portfolio, that stands out as being fairly low. And given your comments about concentrating resources in areas which are delivering the strongest growth, I wondered how those two things fit? I mean is it time to start thinking about exiting a marketplace business. I wonder if you could just share your thoughts on that. Thank you.
Bob van Dijk: All right, I’ll have a go at answering your four questions and people can chime in and please remind me if I’ve forgotten anything. So indeed if you take out associates, our ecommerce profitability has done well. I think there’s a number of components to it. Actually our Allegro business has been very profitable and actually has shown increased profitability. Our online shopping with brands like Buscape, Eureka in Eastern Europe and [indiscernible] has actually also delivered significantly increased profitability over the year that was. And then we have a number of profitable verticals particularly in Eastern Europe that have done better and are monetizing better and some of our horizontal classifieds that are in monetization mode again have increased their profitability. So if you add all of those up, it’s actually a healthy profitability increase that we see. So then you asked the follow-on question on the reorganization of CEE. The main component is actually reducing the number of people that were deployed on the business, because it was a fairly unfocused organization and in our view I think Larry and the team have restructured that and I think the number of people we actually had to take leave from was in the order of magnitude of 400. What we’ve also done is we actually put together the horizontal and vertical classified businesses under a single leadership. That was a structural change that we made in CEE. So then Martin, could you comment on which two additional countries are in a monetization phase?
Martin Scheepbouwer: Yes, it was Ukraine and Romania.
Bob van Dijk: So that was question three. The fourth question was on the growth rate of overall marketplace and there I think it’s important to call out what you see there is a blend, right, or a laggard marketplace particularly in the Polish market has grown quite well and is clearly in the double digits where we would like it to be after – it’s been a great turnaround from the team. We are in markets like Ukraine where we’ve seen – well, as you know very significant geopolitical instability. There was no growth there. As well we had still in these numbers a lower growth geography like Switzerland. So I think the markets we are prioritizing, we’re seeing the right growth over time but it’s a mixed effect that you see that number of.
Richard Barker: That’s helpful. Thanks very much indeed for that.
Operator: Thank you. Gentlemen, there are no further questions in the queue. Do you perhaps have any closing comments?
Bob van Dijk: We’d like to thank everybody for their active participation and wish everybody a good afternoon.
Operator: On behalf of Naspers that concludes today’s conference. Thank you for joining us. You may now disconnect your lines.